Operator: Good afternoon. Thank you for attending Babcock & Wilcox Second Quarter 2022 Earnings Call. My name is Matt and I will be your moderator for todayâs call. All lines will be muted during the presentation portion of the call and opportunities for question-and-answer at the end.  I would now like to pass the conference over to our host Sharyn Brooks, with Babcock & Wilcox. Sharyn please go ahead.
Sharyn Brooks: Thank you Matt and thanks everyone for joining us on Babcock & Wilcox Enterprises second quarter 2022 earnings conference call. Iâm Sharyn Brooks, Director of Communications. Joining the call today are Kenny Young B&Ws, Chairman and Chief Executive Officer and Lou Salamone Chief Financial Officer to discuss our second quarter results. During this call, certain statements we make will be forward-looking. These statements are subject to risks and uncertainties, including those set forth in our safe harbor provision for forward-looking statements that can be found at the end of our earnings press release and also in our Form 10-Q that will be filed today and our Form 10-K that is on file with the SEC and provide further detail about the risks related to our business. Additionally, except as required by law, we undertake no obligation to update any forward-looking statements. We also provide non-GAAP information regarding certain of our historical and targeted results to supplement the results provided in accordance with GAAP. This information should not be considered superior to or as a substitute for the comparable GAAP measures. A reconciliation of historical non-GAAP measures can be found in our first quarter earnings release published this afternoon and in our company overview presentation that will be filed on Form 8-K this afternoon and posted on the Investor Relations section of our website at babcock.com. I will now turn the call over to Kenny.
Kenny Young: Thank you Sharyn and thanks to everyone for joining us this afternoon. Our second quarter results highlight another exciting step for the company as we continue to support our customers energy transformation, as well as continued support for thermal baseload generation. We are now seen by our customers and potential customers as a technological leader and innovator in energy transition. With the combined efforts of our worldwide employees and our senior leadership team we continued to progress against our long term strategic growth strategy during the second quarter. While revenues improved 9% our adjusted EBITA increased by 35%. And our bookings and backlog improved by 46% as compared to the second quarter of 2021. Our net income was lower due to negative effects from foreign exchange rates and a shareholder litigation settlement. But overall, we are using the strength of our balance sheet using cash to accelerate growth in our renewable segments, as well as increasing inventory for our thermal segment to leverage our competitive advantage and our parts and services business. These accomplishments in the second quarter combined with our recent and anticipated bookings positions us well for a strong 2022, 2023 and beyond. The war in Ukraine, lingering COVID-19 effects and global supply chain disruption present ongoing challenges to our project timing and parts deliberately similar to many other companies around the world. However, we continue to work to mitigate these challenges the best we can by leveraging our established global resources with respect to raw materials and other items that are delayed from time to time. And we may continue to experience impacts as these global conditions progress. Longer term, however, we recognize potential tailwind opportunities for our business segment is demand for energy security and alternatives to natural gas continue to emerge. Our recent bookings and backlog support put us in position to meet our adjusted EBITDA targets for the year and show continued year-over-year growth. We remain cognizant of the macroeconomic headwinds and uncertainty given various geopolitical issues. As a global technology leader and a solutions provider, we keenly focused on expanding our operations both internationally and domestically as well as developing current and new customer relationships to uniquely position the company to support the worldâs clean energy transition and drive innovation forward. We are well-positioned to meet the projected demand for global green initiatives with our full suite of proven technologies and Babcock & Wilcox will emerge as a driving force into creating a more sustainable future. While we continue to support our strong industrial and utility customers utilizing our thermal technologies for baseload generation, and energy security, weâre also focused on emerging markets within the clean energy space. And I want to recognize the tremendous strides we have made as a company within our environmental and renewable energy business through the recent contract awards that have been announced, as well as our continuing efforts and evolving ClimateBright de-carbonisation platform and the scale up of our BrightLoop, decarbonisation hydrogen and cin gas production technologies. We will elaborate a bit more on the progress we have made within these areas today, but it is important to emphasize the exceptional tailwinds we have identified within these evolving technologies. As evidenced by our increased bookings and backlog we remain intently focused on continuing to convert our global pipeline of identified project opportunities to bookings as reflected in the 46% improvement over the same quarter a year ago. While the pandemic and global supply chain challenges have continued to cause delays for some project bookings are pushed back start dates of certain projects, bookings for the quarter remain very strong at 245 million increasing 46% compared to the same quarter a year ago, with a significant portion derived from the increased volumes within our renewable business segment. Backlog at the end of the quarter was 731 million in a robust pipeline of more than 7.5 billion of identified global project opportunities in the next three years, positioned us well for multiyear growth and we are preparing to capitalize on the positive impacts across our customer base as demand for a long term energy security and decarbonisation technology grows. Pivoting to our climate bright, decarbonisation platform. We are excited to report that our partnership with Kiewit Industrial to support the Fidelis New Energy plan 200 megawatt net negative carbon impact biomass power plant in Baton Rouge, Louisiana, is currently progressing. Fidelis recently announced the start of construction for the ground fuels complex at the same site, which will be using B&Wâs biomass and bright loop technologies and will create the largest biomass or largest net negative CO2 biomass to energy facility. The company will provide a B&W biomass boiler, our proprietary Oxy Bright, Oxy combustion carbon capture technology, which uses pure oxygen for combustion and can be used with a wide range of fuels to produce a concentrated stream of CO2, which can then be sequestered underground or put other beneficial use. We are also providing a full suite of environmental systems to control emissions. Although we have not recognized this project within our backlog. We anticipate final booking this year. Our partnership with Fidelis New Energy is a meaningful indication of the companyâs progress with respect to our clean energy initiatives. And we look forward to the addition of similar projects within our portfolio, where our advanced technologies enable the transition to responsible energy system innovation and progress for our planet, people and our ecosystems. Regarding our breakthrough BrightLoop technology, we are realizing increased interest in various opportunities, as evidenced by our recent announcement teaming agreement with Newpoint gas. Although we have not announced specific timing and/or revenue potential associated with this site, we look forward to serving as a foundational technology provider and delivering the advanced hydrogen generation, decarbonisation and combustion technologies for the redevelopment of the site which is the former U.S. Department of Energy, Portsmouth gaseous diffusion plant near Piketon, Ohio. BMW will supply its BrightLoop technology to produce hydrogen and isolate carbon dioxide for storage and supply steam generator utilizing the companyâs BrightGen hydrogen combustion technology to produce clean near zero emissions. Babcock & Wilcox construction company LLC will also provide the construction and installation services. And when complete, the H2 Trillium energy and manufacturing complex will operate as an integrated energy, decarbonisation hydrogen and closed loop manufacturing facility, generating clean hydrogen and capturing carbon dioxide for long term storage and/or beneficial use. I would also like to highlight the solar installation contracts for the community solar projects that were announced last week. These contracts with total more than 20 million were awarded by Summit Ridge Energy to provide services for several community solar projects. When complete the seven solar farms will provide approximately 20 megawatts of power for homes and businesses in northern and central Illinois. Engineering for the projects is currently underway and completion of the installation is scheduled for the first quarter of 2023. These are, in addition, to our recently announced 240 megawatt utility project in western Ohio. These contract awards speak to the growing demand for solar energy domestically and BMW is well-positioned to provide world class solar installation services for both community solar and utility scale projects. Moving to our segment performance, we have seen exceptional growth within our BMW renewable segment, with second quarter revenues of 75.2 million, an increase of 96% as compared to the second quarter of 2021. And representing the continued demand for our solar installations, waste energy, biomass energy products and other services within the segment. We are also seeing significant growth within our BMW environmental segment with our disclosed contracts to install a biomass fired boiler and other combustion equipment for a Green energy project in Europe and the supply of advanced environmental equipment for a power plant in Africa. In tandem with this point, we are very pleased to have established senior leadership over our global thermal segment in our global renewable and environmental segment. Chris Riker will be named Senior Vice President thermal and will lead our global thermal business while Joe Buckler has been named Senior Vice President of clean energy and he will lead our renewable and environmental segments. Both will report to Jimmy Morgan, our Chief Operating Officer. The continued growth of our business makes it timely to put these changes into place to provide specific focus over the segments from a market facing and P&L perspective and to further unlock shareholder value and maximizing our long term strategic growth plans. Additionally, Brandy Johnson has been named Chief Strategy and Technology Officer and within this role, Brandy will report to me and spearhead the research and development, demonstration and commercial implementation for our mature and emerging technologies. We look forward to the leadership changes for Chris, Joe and brandy, which will further enhance our ability to react strongly and quickly to market changes and streamline efforts and developing and implementing our new technologies in parallel with addressing the needs of our thermal customers. Iâll now turn the call over to Lou who will discuss the financial details for the second quarter of 2022. Lou?
Lou Salamone: Thanks, Kenny. Iâm really pleased to review our second quarter results. Further details which can be found in the 10-Q that will be on file with the SEC. Second quarter consolidated revenues were 221 million which is a 9% improvement compared to the second quarter of 2021. This is primarily driven by higher volume, driven by new build projects, and the impact of acquisitions completed in the first quarter of 2022. In addition to a higher level of volume in the renewable segment, and partially offset by lower level of construction activity in the thermal segment. Our net operating income for the second quarter of 2022 was 3.7 million as compared to operating income of 2.8 million in the second quarter of 2021. Our adjusted EBITDA was 20.6 million, as compared to 15.2 million in the second quarter of 2021. While bookings in the second quarter of 2022 were 245 million, which is an increase of 46%. compared to the second quarter bookings of 2021. Our ending backlog was 731 million which is a 46% increase compared to the backlog at the end of the second quarter of 2021. Iâll now turn to our second quarter segment results. Within our Babcock & Wilcox, renewable segment revenues are 75.2 million for the second quarter of 2022. This as Kenny had mentioned is a 96% increase, compared to the 38.3 million in the second quarter of 2021. The increase in revenue was primarily driven by higher volume of new build projects, as well as the acquisition and continued growth of foster construction and our VODA acquisition. Adjusted EBITDA on the quarter was 8.9 million as compared to 3.4 million in the second quarter of 21. And this is primarily due to higher revenue volume on new build projects and as discussed a $7 million gain on the sale of some development rights of a future solar project that was sold during the year. Within the Babcock Environmental segment revenues were 31.6 million in the second quarter of 2022 which is an increase of 11% as compared to 28.4 million in the second quarter of 2021. The increase is primarily driven by an emissions control technologies contract for an industrial facility and the adjusted EBITDA was 600,000 in the quarter as compared to 2.7 million in the same period last year. And this lower profitability was primarily due to lower volume and part sales as the plant with the utilities continue to operate at full cycle rather than go into maintenance mode, which was anticipated. We expect that to turn around as the facilities will start doing some maintenance as they slow up a little bit with the demand for energy. Turning to our Babcock & Wilcox thermal segment. Revenues are 116.3 million in the second quarter of 2022, which is a decrease of 15% compared to 136 million in the second quarter of 2021. This is primarily due to the completion of a very large construction project are in Q2, 2021 and itâs offset partially by the acquisitions. Adjusted EBITDA on the second quarter of 2022 was 16.4 million, which is an increase of 30% compared to 12.6 million in the second quarter of 2021 and this is primarily due to a mix of projects with parts sales, outweighing the construction sales. Iâll now turn over to our balance sheet cash flow and liquidity. Our total debt at June 30, 2022 was 334 million and the company had cash and cash equivalents and restricted cash of 80.2 million. Finally, based on our strong bookings backlog in the second quarter, weâre reiterating our 2022 target of 110 million to 120 million in adjusted EBITDA. Iâll now turn the call back to Kenny.
Kenny Young: Thanks Lou. In closing, Babcock & Wilcox continues to successfully build upon its significant transformation over the last couple of years. We now have a strong balance sheet expanding opportunities across all of our business segments and a robust pipeline of more than 7.5 billion of identified global opportunities over the next three years. We are extremely excited about the prospects for the business and based on our recent bookings and existing backlog, we remain well-positioned for a milestone of 2022, 2023 and beyond. Our team of dedicated employees remains one of the most driving forces behind our success as a company and collectively their continued focus on safety, strong project execution, expansion of our bookings and backlog and commitment to helping us become leaders in the global clean energy transition are unmatched across the industry. Looking ahead, B&W remains in a growth mode, and we continue to pursue our ongoing strategic initiatives, including the evaluation of additional acquisition opportunities for both mature and emerging technologies, investments in new clean energy projects and the conversion of our significant global pipeline of identified projects in the bookings. And lastly, Iâd like to touch on an issue that we have previously highlighted and one that is extremely important to our mission as a company, we continue to see B&W on the forefront of the global fight against climate change. And, as stated, we expect 2022 to be a milestone year driven by significant advancements within our ClimateBright, decarbonisation and hydrogen solution platform. We remain excited about the opportunities ahead in this area and about being an innovative leader in carbon capture, decarbonisation, and hydrogen production and we continue to build on our advanced technologies to meet the growing demand of our customer base for a long term energy security and decarbonisation strategy. I will now turn the call back over to Matt, who will assist in taking a few questions, Matt? 
Operator: Thank you.  The first question is from the line of Rob Brown with Lake Street Capital. Your line is now open. 
Rob Brown: Good afternoon. Ken and Lou. First question is really on the pipeline and ClimateBright. Youâve got a couple of nice projects started here. How is that pipeline looking in and could you give sort of a range of sort of kind of a project level revenue for one of those type of projects?
Kenny Young: Sure, yes. The pipeline actually is growing. I mean, itâs been very excited to see the actually, the response in the marketplace from our customers on the technology itself. And the general feedback has been extremely strong. Weâre hopeful to put out publicly a few engineering reviews and others that weâve received from our customers once those are complete and that will solidify. I think, the strength of the technology overall. But weâve been very pleased with the momentum in the marketplace. As weâve talked about previously, the unique part about our BrightLoop technology in particular, that weâre excited about is that globally, it increases, if you will, the addressable market for B&W as it relates to where we can position that technology. And what I mean by that, basically, is that with that technology can be used in a wide variety of circumstances that B&W historically hasnât been able to participate before. Such as even in the oil and gas industry in leveraging petcoke that was traditionally a waste product now can be used in our brand new system to create either heat for other industrial processes or hydrogen or other sin gases can be utilized as well. So it opens the door to a number of different areas. Thatâs true in food and beverage and in other vertical markets as well to globally. So weâre excited about moving that forward proving that that scalable technology, obviously in the few places that weâve just announced and look forward to furthering a number of other projects that weâre in discussions with that are in our pipeline today. So weâre seeing strong appeal and demand and growth opportunities there. I think the other exciting part for us is, we donât necessarily need to scale that technology. Although we can to baseload generation, we could. Eventually weâll get there but there is a wide and big demand for a BrightLoop if you will, even at 15 tons day hydrogen production what weâre calling BLH 15, or BLH 25 or 25 tons of day production, but we can clearly move and plan to move up to higher production environment, whether thatâs 250, 300 tons per day of hydrogen production is eventually where we want to get to. But thereâs a strong demand for us at the BLH 15 and BLH 25 levels, which, as weâve always discussed in the past reduces our overall exposure and risk and produces more smaller projects with quicker and better cash flow scenarios for the company with a reduced set of risks. So weâre excited to move that along. As far as the revenue, the typical revenue depending on a wide range of factors in and around that the revenue for the company on the lower end will be 35 million to 50 million in technologies, depending on the structure and the environmental goals and some other pluses and minuses and involved in that it could range on the high end to several 100 million depending on the ultimate size we move into, but most of the ones that weâre looking at today would be between 35 million and 50 million on average. So you can think about it in those terms as we announced these. Lou anything you want to add or does that cover it? No? Thanks.
Operator: Thank you for your question. The next question is from the line of Alex Rygiel with B. Riley. Your line is now open. 
Alex Rygiel: Thank you, and kind of expanding upon that, youâve got a number of sort of project announcements that havenât yet hit your backlog. Anyway, to kind of bracket sort of what that pending backlog number looks like that can be additive over the next six months of projects that youâve sort of announced already or signed some type of agreement with?
Kenny Young: Yes, I think we may have mentioned a little bit here and there in the past, Alex. But overall, I think if you looked at the myriad of potential projects that we anticipate adding that weâve announced publicly you could look at that in the several 100 million dollar range plus but without breaking it down into specific projects just for sensitivities as we continue to negotiate on the final configuration of these projects, but itâs a few 100 million thatâs out there or greater. That would be potentially added to the backlog over the next six to nine months.
Alex Rygiel: Very helpful. And then Kenny, maybe you could talk a little bit about the cadence of EBITDA sort of in 3Q and 4Q that is implied in your full year guidance understanding COVID and Ukraine delays and whatnot? I want to make sure we kind of understand what the seasonality will look like this year.
Kenny Young: Yes with that â go ahead Lou.
Lou Salamone: No. No.
Kenny Young: Go ahead Lou.
Lou Salamone: I just want to say that cadence is one thatâs been consistent throughout the years, over the four quarters. Your first quarter is the lowest quarter. Second quarter grows in the 40% to 50% range. And then the third quarter begins to kick off as thereâs higher usage of outages and maintenance and part sales. And then the largest quarter, probably more than doubled of what the first quarter would be would be the fourth quarter. And the fourth quarter is a combination of finishing outages and then also very heavy quarter for part sales as the utility business and so forth starts ramping up and purchasing for the following year and using up their budget. So the cadence is first quarter lower, second quarter, 20%, 30%, higher, third quarter, 20%, 30% higher, etc on into the fourth quarter.
Alex Rygiel: And then lastly, Kenny, the solar market this year was in somewhat of transition, but it seems to be thereâs much greater clarity today. I know through any earlier acquisitions, you sort of bought a shadow backlog of opportunities that was quite substantial. Can you comment on how you see that shadow backlog or pipeline developing in 2023?
Kenny Young: Yes, weâre heavily focused Alex, I think on building up the strength of BMW in the solar market, obviously, continuing to do more of the community solar projects and the numbers again, going back to I think the smaller projects are nice because they reduce the overall risk profile of the company. But it gives us a lot of strength and credibility around that at the same time, I mentioned that in the remark here. And as we put out a press release a few weeks ago, weâre picking up some smaller utility scale projects, doing the services work on the 240 megawatt in western Ohio was a nice win for us and one that will realize, obviously, some impact this year. But putting that on the books is important. It proves in our capabilities and around both the strength of the community solar, which the company we acquired had been strong and now leveraging the strength of B&W and the positioning we have within the utility scale sector, I think in combining both of those puts us in a strong position going forward. Equally, as everyone on the call knows, obviously the announcements by the White House and others to remove the impact of the tariffs on the solar panels has been a big help to really release, I think a lot of investment dollars back into the U.S. again around solar. And I think weâre in a good position there to leverage that. But the pipeline is strong for us in both those sectors. And weâll continue to effectively operate towards increasing the size and scale. But weâll do it in a very healthy way that doesnât outpace our capabilities while we continue to grow that business.
Operator: Thank you for your question. The next question is from the line of Aaron Spychalla with Craig-Hallum. Your line is now open.
Aaron Spychalla: Hi, Kenny and Lou thanks for taking the questions. First, in Europe, can you just kind of give us an update on how conversations are progressing there given kind of Russia, Ukraine and the gas prices? What areas of interests are you seeing whether waste to energy or others and just how your thinking orders develop here as we look into the back half of the year and into 2023?
Kenny Young: Yes I mean, itâs I think itâs driving several decisions over there that weâre seeing and itâs in our pipeline now. But anticipate making a few announcements here in the not too distant future. But I think weâre seeing some increase in immediate response to demand on investment capital going into new ways to energy plants, newer technologies, looking at even the BrightLoop aspect and perhaps accelerating the project to or here or there in Europe. But clearly, without question, I mean, every country is a little bit different in Europe as it relates to responding to that particular situation. But we are seeing, I think, across the board, most of the energy companies look towards other technologies to long term remove themselves from the reliance of too much natural gas in the European aspect. We are, as weâve mentioned before, itâs going to have a material impact on the business yet too little too early to tell. But we are in conversations with a few as it relates to certain parts and services and other aspects on re-commissioning of some of the coal plants in Europe. Not real positive, those are going to 100% come across the board. Weâll see how that progresses given time, but weâre clearly in discussions with a few various companies, whether that be in Germany or in other parts that are looking to recondition some coal as it relates to potentially resolving some security issues on the natural gas side or having some power demand and baseload generation as they enter into the winter season and prepare for that. So weâll see how that impacts us overall. I think itâs just too early to state that thereâs going to be material value coming from that as it relates to us. But I think what we are seeing is a little bit of a driver on a few projects in the waste energy renewable side in response to whatâs happening over there.
Aaron Spychalla: Alright, thanks. And then maybe second, just revisiting ClimateBright a little bit. Can you talk about some of the gating factors on those projects moving forward, and then just a little bit on the inflation reduction act? Obviously, hydrogen carbon capture is a big part of that just how that might impact economics broadly for these projects as they look to move forward?
Kenny Young: Sure, well, let me start the latter first. Weâre obviously like everyone else piecing together the impact of that legislation that anticipate getting signed here into law, but and have been in discussions with a few around some of the particulars around that weâve, as I think weâve mentioned in the past publicly have spent a great deal of time with the Department of Energy and also various federal and state level organizations around trying to leverage a lot of the tax credits and initiatives coming from this. There is a desire, I think, within various groups in the federal government to work towards leveraging either natural gas or even some of the waste coal items that weâve talked about in the past inclusive of biomass and other materials, but in the hydrogen production and creation. And weâre directly involved in many of those conversations around some of the programs that have been outlined not only in this act, but some of the programs that have been outlined by the Department of Energy as well too. And without getting into a lot of detail weâre obviously hopeful that weâre participating in some of those and without question, weâll be making announcements when and where appropriate, in association with those, but we think the act will help drive some of the increased CO2 credits that are associated with that, in conjunction with possibly some other funding that might come available in association with these in various states. And weâre in keen talks, obviously, with those as we speak. On the BrightLoop side, as far as the gating factors go the big area for us right now, weâll be proving in the scale up aspect of that technology 21 times over where we have tested previously, which is pretty typical and normal within a evolution of technology. The biggest items weâre going to be observing obviously, is going to be the cycle time of the BrightLoop. Itâs a chemical looping process, as weâve talked about using a special iron ore particle that was jointly developed by us and Ohio State University. And weâll be looking at to prove in the cycle times of those particular particles and to really ascertain the wear and tear of those particles within the 21 timescale up. So thatâs probably the biggest gating factor. I think the rest of the technology from an output standpoint, weâre very confident and comfortable with but weâll need to verify that the wear and tear on iron ore particles as it relates to each of those cycle times, as we move into the next level of the platform, where we move into providing obviously guarantees and other aspects around the wear and tear of those particles. That will be the biggest piece that we want to observe here on these next demonstrations that weâre putting in place. So hopefully that helps, but thatâs where our focus is.
Aaron Spychalla: No, that does that helps a lot. Thanks. Thanks for taking the questions. 
Operator: Thank you for your question. The next question is from the line  with D.A. Davidson. Your line is now open.
Unidentified Analyst: Good afternoon team and thank you for taking my questions. First off here, but how are you approaching new contracts, given the supply issues and the inflation seeing across the market? And essentially, how are you protecting yourself?
Kenny Young: So most of our contracts and projects and we have 1000s. So wouldnât itâs not a perfect science across the board. But most of them, we have provisions in the agreement that provide some protection against inflation on certain price and materials and other aspects around those. We also typically our approach to these projects from a global supply chain perspective is we lock in the pricing for the key material pieces, raw steel and other aspects that are included in the fabrication are typically locked in with our subcontractors prior to the project, beginning as well. So that adds also a level of protection to the company that weâre not subjected to inflationary increases. On occasion, there are certain things that happen here or there that weâve got to absorb but those are typically minimal overall from that standpoint. I think our, the biggest impact for us that we have to really monitor and keep an eye on a project level as it relates to delays not necessarily on our parts on projects but as our customers are building especially some of the new waste energy and other new technology plants going in as theyâre acquiring fabrication and other aspects from the EPC. Sometimes those are delayed, which means our lay down area or our technology could be delayed by a few days, a few weeks or whatever. And those are items that we have to keep an eye on. And of course we do the best we can to put in protection for those delays so it doesnât actually impact us from a cost standpoint. But we do try to mitigate that on a global basis. Again, not a perfect science overall. But for the most part, weâve got that as best we can under control. And Lou you want to add anything to that?
Lou Salamone: Yes, I think the other thing that weâve done is weâve purchased ahead on inventory where we know weâre going to use it. So weâre not subject to the volatility of the markets. And we have on hand inventory that we can use to meet parts and other orders. And that also protects us from the rising prices because we bought the inventory earlier between December and now. So I think those two that what Kenny spoke about and what weâve done, to have an inventory that we can deliver quickly at lower prices, and have supply available helping us mitigate it, not perfect, but we took steps to mitigate it early on as the pandemic hit and then the Ukraine situation hit.
Unidentified Analyst: Thank you for that. And my follow-up here would be do you think we could see more of an uptick in thermal maintenance and aftermarket work in 3Q versus 4Q essentially, to get ahead of the winter months are our schedules for that work pretty firm now.
Kenny Young: The schedules are somewhat firm, but we do anticipate a pickup. Weâve actually seen an increase in bookings in the parts and services business, as customers get ready for the fall outages and are trying to manage and schedule around those. As weâve said, prior, and itâs still true, the coal plants in particular are still being used quite heavily, obviously, around the world, but in lieu of natural gas because of the high cost and pricing of natural gas itself. And so weâre still seeing our customers utilize those plants 24/7 obviously, through the summer months, as well, too, but we are seeing a lot of customers really gear up more towards certain outages in the fall. And in particular, probably different than the past. Theyâre really ordering and looking ahead to try to be prepared for the fall outages, which is great for us from a booking standpoint, but weâre obviously getting prepared for some of that revenue to bounce in as it relates to Q3 and Q4. So we do anticipate an uptick, but thatâs within our plans, obviously and as we stated before, itâs within our target EBITDA that weâre reinforcing here.
Operator: There are no additional questions waiting at this time. So I will pass the conference over to Sharyn Brooks for any closing remarks. 
Sharyn Brooks: Thank you for joining us. This concludes our conference call. A replay will be available for a limited time on our website later today.
Operator: That concludes that concludes the conference call. Thank you for your participation. You may now disconnect your lines.